Operator: Good afternoon, ladies and gentlemen, and welcome to the Temenos Q2 2025 Results Conference Call and Live Webcast. I am Yussef, the Chorus Call operator. [Operator Instructions] This conference is being recorded. [Operator Instructions] At this time, it's my pleasure to hand over to Adam Snyder, Head of Investor Relations. Please go ahead, sir.
Adam Snyder: Good afternoon, good evening, everyone. Thank you very much for joining our Q2 '25 results call. I would just like to offer everyone a brief apology. It seems there was an issue with the conference call dial-in numbers that were sent out. New numbers have been sent out to everyone. So hopefully, more people will be joining. So sorry about that, we will make sure that it's fixed for the next call. Nothing further from me. I'm going to hand straight over to Jean-Pierre to talk about the quarter.
Jean-Pierre Brulard: Okay. Thank you, Adam, and good evening, good afternoon. Thank you all for joining us for our Q2 '25 results call. I would like to talk through our key performance and operational highlights for the quarter before handing over to Takis. So let me start with an overview. I am very pleased with our performance in Q2, which means we delivered a strong first half. The sales environment was stable throughout the quarter. We were able to convert the orders, which slipped from Q1 and as well executing a number of larger deals. I was especially pleased with our performance in Europe as well in the Americas. We are at good traction with our existing base and also won quite a lot of new logos. We continued executing our strategic road map, investing across the business and make new senior hires in sales and product and technology. This is largely self-funded through our cost program. So even with this investment, we had strong growth in our profitability driven by the strong revenue growth and cost control. In May, we held the Temenos Community Forum, which was very well attended by clients and prospects. We made several important AI product announcements, which I will give some details on. And I was pleased to announce the sale of Multifonds closed at the end of May as planned as we continue to rationalize our product portfolio. So with a strong H1, we have raised our full year guidance and confirm our 2028 targets. So now I would like to highlight a couple of deals we announced this quarter. We signed Banco da Amazonia, a large regional development bank in Brazil for core banking, payments and digital. This is a marquee win for us in LatAm, and we are supporting them across the business, including retail, SME and corporate banking. Their main objectives of implementing Temenos is to modernize their core banking infrastructure, diversify revenue streams and expand digital capabilities beyond their current physical footprint, positioning themselves as a full digital bank with national reach. And this shows us for our modular platform, strong banking compliance and our deep functionality. So overall, a great win. In APAC, we announced a deal with East West Bank moving to Temenos SaaS core and digital for retail, SME and corporate. For the digital platform, they are replacing their current leading global front office provider with our digital platform. And they want the scalability and efficiency of our platform and as well, the opportunity it gives them to expand into new segments, including wealth. Indeed, we have some good traction in the wealth space with a number of deals signed in particular in Europe, and that will be a focus for us going forward. Looking at go-live. This increased to 81 this quarter, up from 70 in Q1. This included Raiffeisen Bank going live in Bosnia and Herzegovina as they continue to roll out Temenos core banking across the operations. They are already live with Temenos in other Eastern European markets including Poland. Now I would like to touch briefly on Temenos Community Forum, our flagship client event. We held the main event in Madrid with 2 regional events in Miami and the Philippines, the first time we have taken TCF Global, reflecting our strong profile and the strength of demand for our solution around the world. We have nearly 2,000 attendees including hundreds of clients and prospects, so a very strong level of attendance. We made some important product enhancement during this event. We launched Temenos Product Manager CoPilot, a GenAI assistant that integrates Microsoft OpenAI service and is embedded with the Temenos Retail Core Banking Solution. With this, bank can rapidly design, test, launch and optimize financial products using GenAI. We also launched our FCM AI agent to detect, investigate and prevent sanctioned transgression against global and domestic watch list. This product was developed in collaboration with a Tier 1 European bank. And this GenAI agent allows them to reduce false positives and evaluate screening alerts in real time. I was pleased during this quarter that Temenos received several notable awards from leading industry analysts and journals. I would like to highlight a couple of these in particular. Temenos was named best selling core banking provider for the 20th consecutive year by IBS Intelligence. We are ranking #1 in 13 categories by IBS, including core, digital, payments and wealth. We are also named Best Core Banking System at Banking Tech Awards USA. This is particularly important to me as it demonstrates the strength and depth of our U.S. banking capabilities at this stage in the execution of our U.S. strategy. Lastly, Time Magazine ranking Temenos at fourth most sustainable company in the world in their annual ranking of the top 500 companies globally. We are the highest ranking Swiss company and the only core banking software provider in the top 40. This reflects our approach to sustainability, which is really central to the way we operate as a business. Finally, I would like to give an update on the execution of our strategic road map. Since opening our innovation hub in Florida, over 50 new developers and architects have joined Temenos in Q2, and we will be making further hires on the coming quarters. We also brought in some strong senior talent, including a new Chief Security and Risk Officer and Chief Technology Officer as well as hiring of 25 new salespeople across the globe. And of course, we will continue to invest in our product and strategic road maps for corporate and wealth in particular. Now I will hand over to Takis to talk through the financial highlights.
Panagiotis Spiliopoulos: Thank you, Jean-Pierre. So starting with Slide 12. We had very strong revenue growth this quarter, both for subscription and SaaS and for total revenue. A few things I would like to highlight in particular. Firstly, we significantly exceeded the Q2 '25 guidance we gave back in April. We were able to close the slipped deals from Q1 and we benefited from a stable sales environment and good execution across most regions, with Europe and the Americas being a particular source of strength. We also closed the large deals we had in the forecast. Please note that we still have the headwind on SaaS from the downsell linked to our BNPL client. So to deliver 24% growth in subscription and SaaS was a very strong performance. It means that subscription and SaaS grew 12% in H1 '25, and this underpins our guidance increase. Total revenue grew 16% in Q2 '25, benefiting from the strong subscription and SaaS revenue, but also another strong quarter for maintenance, largely due to strong sales of our premium maintenance offering. We also had mid-single-digit growth in Services. Total revenue grew 10% in H1 '25, which provides us a good setup for the second half. Moving to Slide 13. Our EBIT growth of 28% in the quarter was driven by the strong revenue growth as well as the good performance at cost level. Our costs did increase by around $15 million year-on-year. This was driven by a combination of increased investments; variable accruals due to higher revenues, mainly for commissions and bonuses; and marketing costs largely linked to TCF, our flagship client event. However, we continue to have a good level of offset by the positive impact from our ongoing cost savings programs. EBIT grew 19% in H1 '25, and this was reflected in EPS, which grew 36% in Q2 '25 and 28% in H1 25, also benefiting from the lower share count. Looking at ARR. This has benefited from the growth in subscription licenses and maintenance in particular, and continues to increase as a percentage of our last 12-month product revenue. Per end of Q2 '25, our ARR equaled 89% of our product revenue, up from 85% in Q2 '24. This gives us excellent visibility, both on future recurring revenue in the P&L as well as our future cash flows and as this is a 12-month forward-looking metric, helps underpin our 2028 targets as well. Turning to Slide 15, I would like to highlight a couple of additional points here. ARR has grown 11% year-on-year, and we expect this to accelerate further in the second half of the year, in line with the full year guidance based on the strength and visibility of our pipeline. I would also like to flag the EBIT margin, which expanded 400 basis points in Q2 '25, even with an 8% increase in operating costs. Given the strength of H1 '25 and looking ahead at our revenue trajectory and the investment program, we now expect our EBIT margin to be up at least 50 basis points for the full year. On Slide 16, we have like-for-like revenues and costs, adjusting for the impact of M&A and FX. The figures are all organic and therefore, in line with our constant currency growth rates. We benefited from further improvement in our Services margin. And whilst our product costs were up quite a bit with all the investments we are making, it was also outpaced by the strong growth in product revenue this quarter. Our net capitalized development costs also continued to decline down to $1.9 million in the quarter. In terms of FX, there was a roughly $1 million benefit on EBIT this quarter, largely driven by the euro strength and weakness in the Indian rupee. On Slide 17, net profit was up 31% in the quarter, in line with EBIT, with higher tax charges, partially offset by lower financing costs in Q2 '25. The tax rate in Q2 '25 was 19.5%, and we are guiding for a 2025 reported tax rate of 15% to 17% as we expect a one-off tax benefit of around $15 million from prior year. However, we expect this benefit to only materialize in Q4 '25. The normalized underlying tax rate, excluding this one-off benefit, remains unchanged at 19% to 21%. EPS grew by 36% ahead of net profit growth as we did last quarter, again due to the lower share count. Turning to the next slide. We had free cash flow growth of 8% in the quarter and free cash flow grew double digit in H1 '25. We have already absorbed 75% of our expected full year restructuring charges in the first half of the year. Driven by our strong growth in deferred revenue in H1 '25, we expect free cash flow growth to accelerate in H2 '25 to deliver our full year guidance of at least 12%, in line with our plan. Moving to Slide 19, we show the changes to group liquidity in the quarter on a reported basis. We generated $79 million of operating cash and received about 80% of the Multifonds purchase price in cash in the quarter with net proceeds of $319 million. We also paid the 2024 dividend and bought back $160 million worth of shares and so ended with $305 million of cash on balance sheet. Our leverage stood at 1.2x at the end of the quarter, down from 1.3x at the end of Q1 '25 and well within our target of 1x to 1.5x. We expect to end 2025 within our target leverage range. So we have flexibility and optionality to do bolt-on M&A, though it is rather unlikely for this year. Next, on Slide 20, a couple of items to highlight on our balance sheet. We received an investment-grade rating from S&P, adding to our existing investment grade rating from Fitch and we signed a new revolving credit facility for $500 million. We now have no further refinancing requirements until 2028. The bond maturing in November of this year has already been refinanced by the bond issued in March of this year. We continued at pace with the share buyback, purchasing under CHF 136 million of shares by the end of June out of a total of CHF 250 million, and our net debt stood at $539 million at quarter end. Moving on to Slide 21. We have raised our guidance for 2025 to reflect the strong first half, stable sales environment and visibility and strength of our pipeline. Our guidance is non-IFRS and in constant currency, except for EPS and free cash flow, which are on a reported basis. Both the 2025 guidance and the 2024 pro forma numbers exclude any contribution from Multifonds, and free cash flow is, of course, under our standard definition, including IFRS 16 leases and interest costs. We are guiding for subscription in SaaS to grow at least 6% for the full year, up from 5% to 7% previously. We have also raised our EBIT guidance to at least 9%, up from at least 5%. And lastly, we have raised the EPS guidance to 10% to 12%, up from 7% to 9%, and we have kept ARR and free cash flow guidance unchanged with both growing at least 12%. Slide 22. Lastly, we have reconfirmed our 2028 targets. With that, operator, can we please open the call for questions.
Operator: [Operator Instructions] The first question comes from Sven Merkt, Barclays.
Sven Merkt: Congratulations on the good quarter. I was wondering whether you can frame how we should think about the full year guidance following the strong second quarter. The implied guidance for H2 is for very limited growth. Is this conservative? Or does this mean you closed most large yields now early in the year than expected? And how is the pipeline looking for H2 in terms of the weighting towards larger deals?
Panagiotis Spiliopoulos: Sven, let me take this one. And if you remember how we started the year when we said with the original guidance, we wanted to be prudent, given the macroeconomic uncertainty. And I think this is what we are doing again right now. There is clearly a strong pipeline in place. We feel good about the quality and the size of the pipeline, but we just come out of a pretty volatile first half in terms of own performance, but also the macroeconomic uncertainty. So while we're not explicitly flagging those risks anymore and we feel comfortable, I think we clearly prefer to remain prudent. And we still have some large deals in the pipeline, especially for Q4. And finally, the guidance is for at least 6%. And clearly, if you exclude the still sizable impact of this BNPL customer this year, I think we would deliver very robust growth. So for now, at least 6% is the right guidance for the full year. And maybe to give you a bit more color, clearly, there is Q3, we are aware of the, let's say, more benign comparison base for Q3 while not giving explicit guidance, but Q3 should be in line with the full year guidance on subscription and SaaS.
Operator: The next question comes from Frederic Boulan, Bank of America.
Frederic Boulan: If I could come back a bit more specifically on the second quarter, if there's any specific elements that have impacted the revenue rebound, to elevate in the recent sustainability there or down to some specific contract phasing? And if you can add a little bit more color on the SaaS, and maybe SaaS trends in general. I mean, you've had negative trends in Q1, but interesting to see how that's been shaping up in Q2?
Jean-Pierre Brulard: So in fact, Q2 was really a good quarter where we have different very positive factors. First is, strong execution within a stable environment across the board, very pleased with Europe and Americas. Second, we benefit as well a couple of slipped deals from Q1. And third, we have a very good conversion rate of our larger deal as well. So in a way, if you combine these 3 elements with the context of the macro, which was stable, in a way, that explains we have a good and strong quarter. Of course, in a way, as Takis mentioned, that will allow us as well to have a strong H1 and to raise our guidance for the full year.
Frederic Boulan: And if I may, a quick follow-up. You did not change the free cash flow guidance despite a strong EBIT. We've seen a pretty big jump in DSOs to 150. So can you elaborate on any offsetting factors in the free cash flow that have been slightly -- that means you're not seeing a similar upgrade of the free cash flow?
Panagiotis Spiliopoulos: Yes, Fred, let me take this one. So free cash flow growth of 8% was actually in line with our expectations, actually slightly better, and we have now achieved 10% for the first half. Keep in mind, we have taken $26 million of restructuring costs out of the $35 million for the full year already in H1 with substantial cash outflow linked to that. So if you were ex restructuring, it would be a very strong free cash flow already. So second half clearly will accelerate just because of that. And clearly, you need to think about a strong subscription and SaaS growth does not impact free cash flow immediately. There is a timing difference. You get the full immediate benefit from subscription on the P&L. There is no change on the cash from that. And again, it's at least 12% growth. So the increase on the top line, if you want from 5% to 7% to at least 6%, clearly does not as such impact free cash flow per se much.
Operator: The next question comes from Levin Josh, Autonomous Research.
Josh Levin: Two questions for me. Jean-Pierre, you've been at the company for over a year now. You've made a lot of personnel changes. You've made a lot of changes to internal systems, the products. As you think about the next year, where will your focus be as CEO? And then the second question, a follow-up on those larger deals in 2Q. I think, Takis, you just mentioned there might be some larger deals in 4Q. Should we think of larger deals as sort of more kind of one-timer? Or are there going to be larger deals? Is that more of an ongoing thing going forward? And if so, why?
Jean-Pierre Brulard: Yes. Thank you for your comments as well. So yes, I'm pleased with the progress that we have done in the company. We are executing the strategy we announced at Capital Markets Day. It's basically a good balancing act and built on solid foundation of the company and as well to invest in the market, we would like to invest like in Western Europe and Americas as well. So we put the company in the order of marching order to achieve that. We will continue to do that. As you have seen, we have invested a lot in the U.S. market with opening of the Innovation Lab in Orlando with 50 new developers. We have recruited as well 25 new salespeople, some of them in the U.S., which is up and running today. And of course, AI is -- it's a good and interesting plan for us. You have seen as well, we have announced already a couple of products in -- which are available now, by the way, in TCF in Madrid with FCM AI agent and as well this Temenos Product Manager. We will continue, I mean to invest on AI. At the same time, and we need to do 2 things at once: continue to please our installed base, continue to invest on the product and the customers that we have as well to have a good mix between existing business and new business as well and as well a good mix between existing people and newcomers and new leadership that, I mean, bringing as well additional flavor in our execution. So it's basically what I intend to do in the next year. So for the second part, I will ask for Takis to give you some color as well.
Panagiotis Spiliopoulos: Josh, let me try and respond on larger deals. Clearly, what we have been seeing for the last 2 years is that we have seen, especially in Europe, larger deals coming into the pipeline, not just Europe, across the world, but clearly, we have an overweight in Europe, larger deals coming into the pipeline. Now as Jean-Pierre has mentioned in his initial response, the timing is quite unpredictable and if they get realized at all. So the way we look at large deals is, yes, there is a large deals pipeline, but we always assume a lower conversion rate for those. And we also look at them from a pipeline perspective. Clearly, the timing can be such as we have seen in Q2, they get converted and then you have a very strong quarter, but we look at them from a full year basis. So yes, we always assume that a number of large deals are also converted in every full year guidance we give. But with a number of those having been signed in Q2, clearly, that sets us up well for the full year. There are still some -- which is good. There are more large deals coming into the pipeline. So if we maintain our conversion ratio, I think that bodes well for the second half and the next year. So there is still some dependency on larger deals, but clearly lower today in July than in February.
Jean-Pierre Brulard: Let me add that I am pleased with the progress I've seen as well. We put in place institutionalized or larger lean prospecting behavior as well within the sales team. And second, as well, better and strong -- strong execution as well, very, very thorough review of the larger deals. It doesn't mean that, in a way, we have 100% commission rate, as Takis mentioned, but we have better visibility about the development and the closing of the larger deals. But at the same time, you need to have in mind that for the banks, it's 10 years, 15 years investment. And in a way, we are quarterly driven. So we need to adjust as well the market demand and the banks are investing on our product and technology for a long time, and as well basically the quarterly constraint of a listed company.
Operator: The next question comes from Toby Ogg, JPMorgan.
Toby Ogg: Just coming back on the Q2 dynamics. Could you just give us a sense as to how the different pieces within subscription and SaaS trended. Did you see any reacceleration in the SaaS growth? And then on the traditional software licensing side, what was the sort of value of the deals that slipped from Q1 that you closed in the end? And then how much of a contribution did you see from the larger deals that you closed out?
Panagiotis Spiliopoulos: Toby, that's a lot of detail you're asking for. So on the amount of slipped deals from Q1 or Q2, we had given at the time of the Q1 report in some indication what we had closed in the first few weeks. Clearly, everything has closed by now, but not to give you a precise number. I think, we -- at that point in time, there was an estimate anywhere between $5 million and $10 million, but no further call to this. In terms of the larger deals, sorry again to disappoint. I think that's a level of granularity. Clearly, they had some good contribution, but it wasn't just the large deals, which drove the upside to our guidance. So it was an overall strong execution across different sizes of the deals across most regions. So it was something we feel very good about. And then finally, on the differentiation, subscription had a very strong growth quarter and half year. In our SaaS, I think if you look at the in Q1 and Q2 of last year, we clearly can say SaaS ACV had also a pretty good sizable growth, double-digit. So clearly, it was not just subscription which drove that performance.
Operator: The next question comes from Charles Brennan from Jefferies.
Charles Brennan: Great. Congratulations on a very nice quarter. Can I just ask on sales execution? You've mentioned it a couple of times, but I'm under the impression that you've moved your sales commission plans this year to half yearly rather than annual. Do you think that's contributed to some unnatural success in the second quarter? And do you think we have to pay for that later in the year and maybe Q4? And is reduced conversion reflected in your guidance as a consequence of that change in plan?
Jean-Pierre Brulard: Yes. Thank you for the question. So yes, you have a good memory. We changed the commission plan to have better linearity, which was the main objective as well and to align, I mean, the self-incentive to our linearity. So it's not by quarter, it's by half. So yes, we have seen a good motivation for salespeople to close business in the first half. But I will -- I didn't see a lot of even now, I mean, pull forward from H2 as well. It was basically a good incentive as well to increase linearity. Linearity of the half, but linearity within the quarter as well because we will like in month 1 that people are closing some business, and we put in place some incentive as well to close business as early as possible. In such a way, we are less dependent on the last days' deal that in a way, we don't have the stance as well to well negotiate to the customers. So -- but having a look on the pipeline, we didn't deteriorate at all, I mean, the pipeline of H2. So I am pleased with the strong execution we have demonstrated in first half. As well -- as I mentioned earlier, we have developed as well a culture of larger deals. We are not yet at the point I would like to be, and it's part of the progress for next year, but we have doubled down our effort to have -- in advance because these deals are sales cycle of 12 to 13 months as well a pipeline of larger deals for '26-'27.
Panagiotis Spiliopoulos: On the guidance, Charlie, you know us very well. Clearly, in July, we have a pretty good view of what we plan to close for the rest of the year, especially Q3, which we said what we are seeing there. We started the year by being prudent. In July, we still want to remain prudent. There is still some macroeconomic uncertainty out there, tariff volatility. And clearly, while not flagging those risks in particular and feeling comfortable about visibility, size, quality of the pipeline, I think we want to remain prudent. And the guidance is for at least 6%. Let's do Q3 first and then see where we stand in terms of being prudent for the full year.
Charles Brennan: I think I'll speak for everyone when I say we'd much prefer the risks on the upside than the downside. So good job on the quarter.
Operator: The next question comes from Mohammed Moawalla from Goldman Sachs.
Mohammed Moawalla: Jean-Pierre, Takis, nice job on the quarter. My question was really around that sort of forward pipeline you talked about. Typically, larger deals for Temenos tend to be in the kind of low to mid-single-digit millions. I know you've made changes to the sort of sales capacity, particularly in the Americas. You talk about the 12 to 13 sort of month sales cycle. How do you look at some of those deals in sort of Q4 you talked about? Are there any more kind of outsized strategic deals? And as you sort of look at the pipeline development, pipeline coverage since you made those changes, back end of last year as we look kind of a little further forward into '26-'27. Can you give us some color around your kind of optimism around that sort of delivery of the top line more confidently?
Panagiotis Spiliopoulos: Let me take the first part, Mo. I think the way we look at larger deals is, as we mentioned before, it's a portfolio and we assign more [ lucrative ] conversion rates given the higher level of uncertainty for those. Yes, so in terms of size, we always said larger deals will be $5 million plus. Everything below, we will consider as, let's say, more regular deals. So to be on the safe side, larger conversion ratios for larger deals than for the regular ones. And usually, you also assume larger conversion ratios required from new logos versus deals with existing customers. I think what you need to consider is, and Jean-Pierre talked about, the increased number of sales people. This is clearly feeding into a growing pipeline, obviously, especially in the Americas, U.S., specifically. We'll have to see how quickly that converts into deals. We'll provide, as usual, the update for '26 in February.
Jean-Pierre Brulard: Yes. Let me complete with that. I think at sales kickoff, we introduced, in a way, the confidence, optimism about larger deal to create as well value settings, first of all, to deliver the right value to the customers. And to remove a couple of mental barriers as well that some salespeople should have as well not to engage with the right, I mean, C-level executive and to position the real value of our solution. And on top of that, we put in place as well some very serious incentives for the salespeople when they close larger deals. So if we combine all these elements of culture, I mean, management incentive, and sales as well, we recruited a couple of new salespeople as well. They have the confidence and the experience to close larger deal, is giving a very good combination of people. So it's not yet -- I'm optimistic for the next year as well as we recruit a team of -- a prospecting team of salespeople in the U.S. They have an average 15 years of banking software experience and enterprise sales experience. And I'm pleased with the pipeline development that I've seen in the U.S. as well. It's not factoring in FY '25, it's starting to pay off in 2026. But all these elements, I mean, combined to, in a way, a better execution of larger deals through the pipeline development and the closing.
Operator: The next question comes from Daure Laurent from Kepler Cheuvreux.
Laurent Daure: Yes. My first question is on the SaaS business. On new business, if you could give us a little bit more granularity on the profile of the new customer, whether it's Tier 4 banks or still some fintech? Anything or more precise on this would be very helpful. And my follow-up is back on the growth. You delivered a nice quarter, $25 million extra in subscription in SaaS versus last year. I was wondering about the shape of this $25 million. Shall we see that as like 3 deals or 4 deals versus no deals a year back, making the growth? Or is it much more spread through the organization?
Jean-Pierre Brulard: Okay. So I will take the first part of the question. So in a way, I will not -- I will give you, I mean, another view. So it's pretty similar to what we observed on the prior quarters as well. We have more or less 1/3 of Tier 1, Tier 2 and 2/3 of Tier 3 and below. And from the mix between new customers and existing is mostly, I mean, 2/3, 1/3. So -- but what's really pleased me is that we were able across the different geographies really to have a strong execution across all the regions, more or less. So it's not due to one magic deal, it's really strong execution between these different business analytics. For the second part of the question, maybe, Takis, will take it.
Panagiotis Spiliopoulos: Yes. Laurent, I'm not sure I got the question correctly about the $25 million. Can you repeat that?
Laurent Daure: Yes. In fact, this is more or less the additional subscription and SaaS sales versus Q2 of last year. So it's the structure of this $25 million. Basically, I'm trying to get whether this very nice quarter was really due to just a small number of deals and you're still dependent on a small number of deals or if the company is much more diversified now. And also the other point was on the SaaS customer. I was wondering the profile of those customers, the new one that you just managed to sign?
Panagiotis Spiliopoulos: Okay. Now I got that. Nice try. So the $25 million versus last year. If you remember what we said, there is clearly a headwind, which we have from this BNPL client throughout the year, which we had in Q1 and in Q2. So that's actually demonstrating that there has been considerable growth on the subscription line, given the headwind on SaaS. Now we always, and the number of deals we sign in any particular quarter is pretty large. And as Jean-Pierre said, we had a lot of new logos as well and a good split between new and existing. So for the full year, I think we still -- and that's the previous comment, we still believe and we're still going to get, as we have shown, and we still incorporate a number of large deals into the full year guidance. I think that has always been the case. I wouldn't call it a particular dependency on any specific sized deal in that respect and also the growth which we have mentioned has been pretty broad-based. So the tiers have all grown and the regions, APAC had a very strong comparison, but the other 3 regions were doing a very great job. It was just very good business execution as you would hope for in any particular quarter.
Operator: Ladies and gentlemen, this concludes today's Q&A session. I would now like to turn the conference back over to Jean-Pierre Brulard for any closing remarks.
Jean-Pierre Brulard: Okay. Thanks a lot for joining us tonight and look forward to seeing you -- each of you very quickly. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.